Operator: Good morning, my name is Brent and I will you conference operator today. At this time, I would like to welcome everyone to the DHX Media Third Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] I would like to now turn the call over to Mr. David Reagan, Executive Vice President, Corporate Development. Mr. Reagan, please go ahead.
David Reagan: Thank you, operator. And thank you everyone for joining us this morning. We’re going to start up with comments by Executive Chairman, Michael Donovan and then from our Chief Executive Officer, Dana Landry to provide some overview on the Q3 highlights. I’ll then go into some detail on recent corporate development activities and then finally here from our CFO, Keith Abriel with a detailed review the numbers. And then finally Dan will take us back for few comments on the opportunities that head of us going forward and finally of course questions from analysts. First the matters discussed in this call include forward-looking statements; such statements are subject to a number of risks and uncertainties. Actual results in the future could differ materially and adversely from those described in the forward-looking statements as a result of various important factors including the risk factors as set forth in DHX Media’s MD&A and the Company’s annual information form. I’ll now turn it over to Executive Chairman, Mr. Michael.
Michael Donovan: Yes, thank you, David. We are very excited this morning to be reporting the best ever quarter for the DHX Media. Today’s numbers are a testament to the integrated platform and world leading library we built. And I’d like to congratulate Dana and the team on their hard work. As we continue to realize double-digit and triple-digit growth. One of our great successes from Q3 was our new live action series Make It Pop, which was serialized on Nickelodeon throughout April. This show is number one on Nickelodeon for kid’s six to eleven and girl’s six to eleven. It’s the most-watched long-form content on Nickelodeon’s website and mobile app. Make It Pop has already been renewed for a second season and we’re eager to resume shooting at our Disney studios to deliver a 20 more episodes of this unqualified yet [ph]. We also continue to be extremely enthusiastic about Teletubbies, which is set to air in the late fall or early winter. The brand is gaining tremendous momentum worldwide. In Q3 VTech was added for electronic toys to the already extensive list of Teletubbies licensees. And Haven was appointed Australian agent for the brand. We look forward to releasing more licensing menus over the coming months. And also some very exciting broadcast announcements. With that I will pass it over to Dana. Dana?
Dana Landry: Thank you Michael and thanks to everyone for dialing today. This was indeed and exceptional quarter for the company with excellent growth across many of the key metrics. Revenues were up 195% over Q3 last year, our adjusted EBITDA was up 216% and our basic earnings per share rose from $0.02 to $0.15 for the quarter. These growth results are important to point out included a 125% quarterly organic growth, I should say, including among others 69% organic growth in proprietary, 210% in distribution and 68% M&L-owned. We are also to pleased to announce that on May 13, yesterday the Board of Directors approved a dividend for the quarter $0.14 on each Common Voting Share and each Variable Voting Share outstanding to the shareholders of record at the close of business May 29 to be paid June 19. In addition to realizing stellar numbers this quarter, we also launched a significant rebrand of our Television division. We’re very energized about the plans to extend our industry leading Family brand across the TV channels. And I will speak in greater detail about those plans and other prospects in a few minutes. First though I will turn the call back to David for an overview of Q3 business developments and the Q4 detailed look at the numbers. David?
David Reagan: Thanks Dana. In the third quarter, we closed number of distribution deals and realized significant revenues from firms such as Netflix, Hulu, and Amazon. Two notable deals in the third quarter were struck the distribution from The Orchard, namely an electronic sell-through deal for more than 8,000 episodes of DHX’s library content and at digital music distribution deal for more than 2,000 tracks of children’s music from our library. In addition, we secured the worldwide distribution rights to the new animated series Kookoo Harajuku, which is inspired by an executive produced by pop star Gwen Stefani. Also during the quarter, our DHX Television division ordered new seasons of the number one rated show, kid show, that is in Canada the next step, the gaming show, which is a top performing domestic show across all Canadian kids digital networks. And the hit DHX media series Slugterra, which we acquired as part of our second quarter and third quarter transactions. In addition, DHX Television announced several new commissions, notably a new music series provisionally titled the music room from the same producers as the next step. And a comedy series targeted at boys six to 11 called Tangled. In the content production business we delivered 60.5 hours to the DHX library, including 12 half-hours of Looped, 10 half-hours each of Inspector Gadget, OPEN HEART and This Hours Has 22 Minutes, and 9 half-hours of Degrassi. Looking at the development flip [ph] side of North America, the quarter start our full service licensing agency, Copyright Promotions Licensing Group or CPLG, expand into Central and Eastern Europe opening new offices Stockholm and Warsaw. CPLG of course acts as a licensing agent in Europe for rights owners such as Universal Studios, Lions Gate and the [indiscernible] amongst many others. In China, our joint venture with the state broadcaster there launched in March as a standalone streaming website dedicated to providing DHX content. There are plans to expand the service to other platforms, including from mobile devices. The site current offers 700 half-hours of Mandarin dubbed DHX content. With that I will turn it back to Keith for look at the numbers.
Dana Landry: David, excuse me, its Dana. I just want to clarify one thing, I think, I misspoke on the dividend, its $1.4 just for clarification. Keith, over to you.
Keith Abriel: Thank you, Dana and thanks for everyone for dialing in today. Based on the strength of the quarter, management is pleased to announce along with these results an increase in outlook for fiscal 2015, highlights of which are as follows. Production revenue is targeted in the range of $41 million to $43 million. Producer and service fee revenue is targeted in the range of $27 million to $30 million. Distribution revenue is targeted in the range of $66 million to $71 million, and M&L-owned revenue is targeted for $20 million to $22 million. For further details of the detailed outlook, please see Page 19 of our Q3 MD&A. Turning now to the posted Q3 numbers, management is pleased to highlight very strong growth in revenues, which are up 195% to $85.6 million from $29.0 million for Q3 2014. The increase in Q3 2015 was partially due to the acquisition of DHX Television on July 31, 2014, which accounted for $20.4 million or 70% of the growth, as well as increases in distribution, which accounted for 71% of the growth, proprietary production, which accounted for 31% of the growth and producer and service fee revenue, which accounted for 9% of the growth, and a 12% increase in M&L-owned revenues. We also saw solid growth in proprietary production, which contributed $15.1 million in revenues for the quarter, up a 153% over Q3, 2014’s $5.9 million. This variance was in line with Management’s expectations based on delivery schedules for the quarter. Distribution revenues for Q3, 2015 increased 210% to $30.5 million from$9.8 million for Q3, 2014. This includes $12.8 million in streaming revenues for Degrassi a portion of which represented a catch-up for calendar 2014. The quarter-over-quarter increase was partially due to the continuing growth of new digital customers platforms and territories and was well above management’s expectation. For Q3, DHX Television revenues were $20.4 million which was at the high-end of management’s expectations. Approximately 90% or $18.3 million was subscriber revenues, while advertising, promotion and digital revenues accounted for approximately 10% or $2.1 million. M&L-owned revenue increased 96% for Q3 to $6.4 million, as compared to $3.3 million for Q3, 2014. The Next Step Live on Stage tour generated revenues of approximately $2 million; there was no Yo Gabba Gabba! live show during this quarter. The M&L-owned for the quarter was $4.5 million, up 69% as compared to $2.6 million for Q3, 2014. M&L-represented revenues were up $0.13 million for the quarter to $3.50 million compared to Q3, 2014 at $3.40 million and were in line with expectations. M&L represented revenues and it is somewhat from tailwinds associated with the weakening Canadian dollar, relative to the Pound Sterling. The company earned $8.2 million for producer and service fee revenues for the quarter, an increase of 45% versus the $5.7 million for Q3, 2014. This increase was the result of a combination of the acquisition of Nerd Corps and increased global demand for children’s content. New media revenues were up 59% to $1.5 million, compared to $0.96 million for Q3, 2014. Gross margin for Q3, 2015 was $44.8 million, an increase in absolute dollars of $27.3 million or a 156%, compared to $17.5 million for Q3 2014. The overall gross margin for Q3 2015 of 52% was near the midpoint of Management’s expectations. This was a result of strong margins on digital distribution deals, overall distribution margins, and producer and service fee margins, and DHX Television. Adjusted EBITDA for the quarter was $29.80 million up $20.40 million or 216% over $9.4 million for Q3 2014. Net income for the quarter was $18 million up 902% from Q3 2014’s, $1.8 million or an increase of $16.2 million in absolute dollars. Comprehensive income for the quarter was $13.8 million, compared to a comprehensive income of $1.7 million for Q3 2014 or an increase of $12.1 in absolute dollars. Turning to operating expenses, SG&A costs for Q3 2015 increased 98% to $16.4 million, compared to $8.3 million for Q3 2014. This increase includes $3.2 million for DHX Television, as well as Epitome, Nerd Corps, and an increased cost at Ragdoll totaling $1.2 million. This also reflects increased costs associated with DHX Brands and DHX Distribution as Management added resources to take advantage of M&L opportunities associated with Teletubbies and Twirlywoos and global expansion of digital distribution platforms. Finally SG&A includes $1.4 million in non-cash share-based compensation, compared with $1.2 million for Q3 2014. When adjusted cash SG&A at $15.0 million was slightly above the management’s expectations. For further specifics of the Q3 results additional information on our revised outlook and various other information I would refer you to the company’s Q3 2015 MD&A which was posted on CEDAR this morning. Now, I’ll turn it back to Dana.
Dana Landry: Thank you, Keith. Those view will follow us along we’ll recall, Michael referred in our last call to the tremendous growth of subscription video-on-demand or SVOD. This base has continued to proliferate since 2014 and even earlier. More than 35 new SVOD platforms were launch and announced to this stage. This is up 11% to the end of 2014 and does not include the expansion of the existing platforms such as Netflix into Europe and Australia. Revenues from this global growth are now flowing through our results as evidenced today. For example, we recognized approximately $13 million from Amazon and streaming revenues this quarter alone. On a similar note, we saw 7% growth in the ADVOD space or advertising video on demand space over Q2 2015, our last quarter. Most significantly our YouTube revenues continue to decline. The net margin contributed from YouTube for the quarter was $1.88 million, up 88% over this quarter last year. We’re also seeing great promise in the M&L program as Michael mentioned. Last June you’ll recall, we launched DHX brands as our dedicated brand management and consumer products are. Since then the business unit has executed 45 licensing deals across multiple platforms around the globe of which 25 has been for Teletubbies and 12 for Twirlywoos. From these deals approximately $1 million have been recognized today and with many more to come. Also on the M&L front we are opportunities in the live stage shows. In Q3, the live tour for Next Step, one of Family Channels’ flagship series sold out across Canada and was expected – sorry and was expanded by 15 shows for a total of 40 shows in 28 cities. The tour generated little over $2 million in revenue and we look forward to future live tours for this and other shows, including potentially Make It Pop, our hit show that Michael mentioned earlier. For those that you on the call who are not familiar, this is the show about three teenage girls who form a K’Pop inspired band at their high school. Make It Pop is a very strong example of the capabilities of our live action production team. And this is the sort of hit show that DHX can and will produce. Meanwhile, our animation studios continue to produce best-in-class content with international appeal, including shows such as Inspector Gadget, Looped and Dr. Dimensionpants. As a reminder, this was our first full quarter owning the former Nerd Corps and its animation studio. We are particularly delighted by the enthusiastic response, the announced development of a project that was acquired with Nerd Corps. This project in partnership with TVO, we’ll be developing a new animated series based on the George Green B. books by renowned physicist Stephen Hawking and his daughter Lucy. Last by no means least, our plans and excitement continue to build at the opportunity to re-brand our TV channels here in Canada based on the Family Channels identity as the leading kids and family entertainment brand in Canada. These actually will extent the Family brand across our suite of channels. Family Channel of course will retain its industry leading identity as Canada’s most-watched television channel – children’s television channel, I should add. Our preschool channels targeting kids two to six in English and French will be rebranded tentatively at the moment Family Junior and Family Famille Junior respectively. And our channel targeting six to twelve will be rebranded as Family Extreme also tentative at the moment. These new brands will debut by November 30, 2015. The core strategy behind the rebrand will be to leverage the DHX library produce more original independent shows and explore alternative content models such as working with YouTube celebrities, as well as we will fill in the channels with third-party content. I can’t give too many details just yet, but we’re also developing ways to capitalize on the Family Channel brand on an overall DHX platform. For example, with Family Junior, we will explore our libraries preschool titles prioritizing space in our DHX brands portfolio and engage with Pop third party brands. For Family Extreme we will emphasizing boys animation and focusing on branded content for sponsorship and contest opportunities with toy companies. We are also in discussions with other content producers and we look forward to providing further updates on that in the future. And to wrap it up I’ll hand it over to David for questions, please stay tuned there is a lot of exciting announcements coming out. David.
David Reagan: Thanks, Dana. Operator we will be delighted to take questions from analysts.
Operator: [Operator Instructions] Your first question comes from Aravinda Galappatthige [Canaccord Genuity]. Your line is now open.
Aravinda Galappatthige: Good morning, thanks for taking my question, congrats guys great quarter.
Keith Abriel: Thank you, Aravinda.
Aravinda Galappatthige: I’m just wondering if you could be may be expand a little bit on this the large size deal that you did for the Degrassi, the $13 million streaming deal I assume it what you are referring to with respect to Amazon. May be just give us some background of how that came around and maybe perhaps the sustainability of that type of deal not saying another $13 million deal but sizable deals like that the ability to continue to drive distribution deals of that nature?
Dana Landry: Yeah, thanks for the question, Aravinda. I mean that’s it we acquired IP, we have been acquiring IP now for 10 years would be the thought and the hope that the global expansion content would continue to grow and that what we’re seeing. With respect to the individual Amazon deal, I would say about $5 million of it was for pleasant surprise, the rest of it was as expected. You recall from past quarters, we talked about the lumpiness of some of the distribution, in particular with the Degrassi, given the nature of the series. And so this was sort of that coming through. With respect to the digital platform, I mean obviously Amazon is a huge interest to us going forward. I think hopefully this will start to emerge as our, this year’s YouTube story, as an opportunity for continued growth. And we really think in this case it’s really about the fact that Degrassi is absolute, for sure global well recognized brand. We’ve got 14 series and over 500 episodes and so we’re looking for many more similar pleasant surprises, not only on the Degrassi but other results going forward in that.
Aravinda Galappatthige: Okay, thanks for that and just moving onto the M&L side, obviously you have a lot of license deals signed with Teletubbies and Twirlywoos. As we think of the sort of the roll-out of this sort of when the products hit the shelves and sort of the progress from here on, may be just take us through some of those milestones? And how should we think about sort of the magnitude of, I mean, you already have some revenue guarantees. But overall how should we think about the magnitude of this opportunity?
Dana Landry: So your line cut off just to wrongly there could you repeat the first part?
Aravinda Galappatthige: Yes, so with respect to M&L I just wanted to get your thoughts on, I mean, you signed a lot of licensing deals with Alpha Twirlywoos and for Teletubbies, just wanted to maybe if you can sort of take us through the milestones from hereon like the point at which it hits the product at the shelves and sort of the expansion from there. And also the extent that you can, just talk bout your expectations as far as magnitude of this opportunity is concerned. I mean [indiscernible] retail sales, I know, but generally your thoughts on that.
Dana Landry: Sure, so the point of that to look at that is the go back to the scheduled launch dates of those particular brands. And sort of first up is the Twirlywoos that’s already on the air in the UK. So we would expect that we start to see some results late calendar 2015, which would obviously hit our 2016 results for Twirlywoos. And that will start to gain some momentum in spring of next year. On the Teletubbies front, as you know we are busily producing the series, we’re already getting tremendously positive feedbacks from the BBC and others, with respect to the early reports of the content. So we’re already in discussions with possible renewal and stay tuned on that one, but that one is probably going to launch as Michael said either, probably in the winter or late Fall, more specifically, probably next early 2016. So really those results won’t come in until calendar 2016 until that will really be sort of start in earnest in our 2017 results, but overall, I think, going forward for the next six months look forward to new territories as we sign our content deals and the U.S. being the one that we’re obviously heavily targeting at the moment and we hope to have an announcement in the near term on that one.
Aravinda Galappatthige: Great, thanks. And just lastly, with respect to family, obviously with the transition way from Disney, I was wondering if you can talk to sort of how this effects your BDU agreements I mean particularly we know that Shaw and Bell or few years away. Is there anything in the agreements that would potentially drive as a renegotiation on that front? And maybe sort of your comfort levels are on maintaining the subscription fees on those affiliate agreements.
Dana Landry: Yes, I think one of the key things that give us additional comfort in our re-branding strategy was these are stage dubbed over the next few years as you mentioned with the few mentioned being further off in the distance, and so that gives us the chance to sort of to transition now. The conversations at the moment there is no reason to renew those early, but we broadly shared conversations with the BDU’s. It’s been very receptive, everyone is clarifying the fact that Family is a very well known, very often selected brand within the country, and in fact in a lot of the platforms like Bell, as you recall we’re already part of the package that is selected. So with respect to the subscribers on various – within the various BDU agreements we expect that other than the normal course cycle of linear television that we’ll be able to maintain those. And we’re feeling very good about our opportunities to secure those, and continue them. And really I think the value proposition for us is the same thing it is in the rest of the world, which is that we have tremendous brands that are in high demand we’re seeing that – you can see that today in our results, our IP is extremely powerful and if you look at our YouTube stats the views in terms of our content is growing every day and every month. And so we’re very bullish on the fact that we can continue that momentum here in Canada. Great, thank you.
Aravinda Galappatthige: Great, thank you, Dana, pass the line.
Dana Landry: Thank you.
Operator: Your next question comes from the line of Rob Goff with Euro Pacific. Your line is open.
Rob Goff: Thank you very much. And congrats on a excellent quarter.
Dana Landry: Thanks Rob.
Rob Goff: My question is would be two follow. I’ll start with a easy one and then go on the tougher one. The first one would be on the Slugterra, if you could give some more the particulars with respect to the Burger King promotion. And then on the tougher question just to give a few seconds I think about it. If you scroll ahead just three months to where you’re looking to putting your 2016 guidance, how much visibility will you have with respect to the M&L and like how conservatively might you go with that plant? That’s the tough one.
Dana Landry: Okay. So the Burger King one, I mean obviously this is in quantum, now that our revenues have grown to an extreme, its not terribly significant in terms of monetization, but it’s really indicative of the globe appeal of Slugterra and the brand, and that’s pretty much why we’ve – one of the main reasons why we’ve gone and completed the transaction with Nerd Corps and obviously Ace and his team are tremendously talented. Its building, its gaining momentum and what’s interesting about brands is that we’ve seen – we saw that’s in our own Yo Gabba Gabba!, I mean Yo Gabba Gabba! is kind of good run for us, but people think it’s a brand that’s happened relatively quickly, but its debuted in the U.S. in 2007. Here we are eight years later where we’re still starting to generate M&L opportunities. So the brands that sort of take off and Peppa Pig which is not owned by us, but eOne has a similar experience so it’s taking a while for these brands to connect. And so Slugterra has all of the elements of things that we like about it in terms of the toyetic features of it, the connection to boys. And so early results are positive and we hope to see that momentum going forward. And so more deals like this in terms of global deals we are certainly expecting on Slugterra. In terms of visibility on the outlook, I think, it really comes down to, I know you that mentioned specifically in M&L, but I talk about the other areas as well briefly. On the production side, the reality is we have, virtually almost a 100% visibility on to – into the outlook for the next year. Because as you recall, most of our production is animation and animation takes a couple of years, 18 months to two years to produce and so a lot of that is underway, it’s the delivers, it’s the scheduling, exercising, you always have that the back and forth of the broadcasters and the channels. But that’s very much in hand. On the distribution front, with everything sort of expanding at great pace that’s the one that’s probably the most difficult to project, but based on momentum and certainly a statement that we are seeing and the launching of all these new platforms, Netflix expanding, Amazon stepping up, Google is stepping up, Google Now getting into the content business, it makes us very optimistic to the future for growth in that category as well. On M&L, the interesting thing about M&L is that it takes a long time to ramp up as you know, and so with respect to 2016, the visibility on M&L, it’s pretty clear and I guess really the only major variability here would be Twirlywoos and how much we can pull in to 2016, 2017 and going forward is really where we expect this steep increase in revenues from obviously Teletubbies, driven by Teletubbies, but also Twirlywoos and another brand. And Make It Pop is one that’s now become a real possibility for merchandising and licensing opportunities. So hopefully I have given you some clarity on that.
Rob Goff: Thanks Dan that’s great.
Operator: And your next question comes from Deepak Kaushal with GMP Securities. Your line is open.
Deepak Kaushal: Hi, guys, thanks for taking my questions. I have a couple, may be I just follow-up on the Make It Pop. Dana, you mention that’s a real opportunity, you talked about doing a live show for Make It Pop and that you guys are going to produce it. I was wondering if you could may be share some light on how you make that decision on whether you produce it or whether you go to a third-party producer and just collect a license fee, which I think you do the next step. And how many of these live shows can you support in a given year and how should we think that growth in the segment business?
Dana Landry: Yes its one for a while that, I mean, it’s in our opinion similar to all other aspects of media. You need scale to really have a business organically. We’ve had a lot of experience the last five years with Yo Gabba Gabba on our tour there. That was a bit of a hybrid model, we produce the actual content of the tour to make use of the brand, and the integrity of the brand and the messaging is proper. And we have a – we had a partner that get bookings and all the arrangements on that end. So if that worked all right, so that’s one form of partnership and another form is as you said a hiring out, contracting out, like we did on the Next Step, although in the Next Step we also had a similar type of an arrangement with, as we did with Gabba. So it really is a scale question, it’s one of the thinks that were considering now with Make It Pop. Do we have enough between those three brands to perhaps bring that to certain extent in house? But in any event as the content company we have to make sure that the content side of the stage show is consistent and that’s really you will always see us focusing on that with respect to whether we bring that in-house or not it’s very much of an ongoing discussion and stay tuned.
Deepak Kaushal: Okay so do you have a sense of how many shows you could support in a given year can take [indiscernible]?
Dana Landry: I mean again its market depended and the U.S. is a big market, so there is no real limit. Obviously you probably want the diversification of brand, so Gabba is a preschool brand, Make It Pop will be for teens and tweens. So there is a pretty good broad cross section there, you’re not really going after the same audience. So I don’t see that there is any constrains on the number of shows certainly four or five we could easily do.
Deepak Kaushal: Okay, great. And then just following on that, as you commission new brands with the DHX TV, things like the gaming show, what’s the opportunity to add on distribution deals with those new commission deals? And even like even for guys like Temple Street, can you compliment their distribution deals with the BBC with your own kind of footprint in another parts of the world.
Dana Landry: Yes, going forward there is an opportunity there we hope will leverage our distribution team. I think that there is varying degrees of relationships that we have in terms of the Temple Streets guys obviously they’ve got a great track record in producing and we’re doing The Music Room with them as well. So they’ve got their own distribution arm, so that’s sort of the way forward of on those particular series, but certainly gaming show we obviously do own the distribution rates on that one. And so that’s one that we’re looking forward to expanding, but similar opportunities, I think, it’s a bit of a one off situation. I mean obviously we feel that’s a tremendous value to producers, independent producers that are coming in. But that don’t necessarily have the scale that they could think back on the experience and leverage the relationships that we have. And so obviously we are out there selling ourselves with that mind.
Deepak Kaushal: Okay, thanks guys. I just have one more last question. It’s more of a big picture longer term question. I’m a bit of a – middle a bit of a geek and I’m a Star Wars and a superhero fan. And it just seems like we’re getting a bit of a tittle wave of Disney content, since they purchase Lucas Films and Marvel. And last time we saw over capacity and supply was only early 2000 how far long are we in this cycle do you think? Where is supply and demand from your view today, and how long can this kind of up cycle last?
David Reagan: I mean, it’s a question that we obviously to be often here. I think in North America we’re probably half way through the game it’s my gut [ph] But in the rest of the world it’s really just beginning, you look at China, India, places like Brazil, which is more than half of the world’s population, it’s really just starting to expand. You also have platforms like Netflix that are proliferating throughout the world. So there is still a lot of upside in the rest of the world. We, as North Americans, tend to focus on North America. But I think indicatively it’s well advanced here, but I don’t think we’re anywhere near the consolidation phase. And I think there’s still tremendous, tremendous demand for content up there and we’re seeing it all over. We are seeing that with our own brands, we are seeing with the brands that we’re representing. I don’t know Michael you have any further comments on that? That sort of okay.
Michael Donovan: This is whole new world and since we are just beginning and it’s – everything is different. Now that is for a very long time, I have never seen anything like it.
Deepak Kaushal: So Michael what would be an indicator in your mind that we’re getting close to the top, would it be consolidation among the content players would it be…
Michael Donovan: Yes. That’s I mean everyone has their series and ideas, but one of our views is that at the end of the cycle you almost always see consolidation. We are not seeing any consolidation, preceding the exact opposite, expansion of new brands [ph] and dramatic expansion. I think Dana mentioned a lot of new ones in the last four or five months has come up and every week where we are hearing more. So we are still in the expansion of demand phase. And fundamentally what’s happened is that we have a direct connection now with new technologies to the consumer. And the consumer being much better served with our direct connection is offering share of much larger percentage of its lows [ph] with the content grades. And it’s sort of a two pronged venture [ph]; number one more money and number two, money going directly to content. And those two drivers that are driving our numbers and we have the largest supply of children’s content. We own this content in the impended world and so we find ourselves extremely well positioned, particularly with respect to the new technologies.
Deepak Kaushal: Okay, fantastic thank you very much, I appreciate it.
Michael Donovan: Thank you.
Operator: Your next question comes from Adam Shine with National Bank Financial. Your line is open.
Adam Shine: Thanks a lot. Good morning the distribution outlook for us 2015 is up about $11 million. I think data and it’s said that only about $5.6 million was a surprise in the Q3 for you, should we interpret that the other $5.4 million is something additive heading into Q4 or are we getting a better head ourselves on that one?
Michael Donovan: No I think that you can definitely sort of reverse engineering to that, I mean that we don’t necessarily look at it that way, we try to provide the best guidance that we can, given the pipeline that we’re seeing right now though, which is of course we’re very well already into our last quarter here. So we are well advanced in terms of executing on all of those opportunities. And as you know Adam there’s tend to be some spike and some nature of lumpiness to those, but overall the trend is very positive. So that gives us comfort to operate a bit [ph].
Adam Shine: Okay. And obviously, we are seeing the SG&A creeping steadily higher, but not an issue in March, and so for all and certainly you’ve made it clear in the MD&A and I think on this call that you are doing that to scale-up resources ahead of some of the M&L opportunities you are pursuing. [indiscernible] the FY 2016 sort of question earlier, should we be thinking as we move M&L revenues higher in light of possibility that perhaps SG&A should be moving up, may be a little but higher than we might be anticipated?
Keith Abriel: No, I don’t think so. I think what we are seeing is that we’re trying to get on top of that. I mean one of the things that you constantly try to do as a media company is pull things forward. And so we’re seeing, real, great, tremendous momentum on a lot of our key brands. Its driven by this demand for content, but the – so as a result of that, we’re investing ahead of time, which we think is obviously on a pay of master dividend. I mean our margins are such that it doesn’t, as you say, it doesn’t greatly impact at the momentum, but we can see some tremendous leverage in network [ph] that’s created on that. But I don’t think I’d necessarily too much further into that as to say, we’re just growing that sort of ramping up a little forward.
Adam Shine: Okay, great. And one last question just related to Family Channel. In some of those may be preliminary discussions with the BDUs just in terms of some of their initial thoughts, post to re-branding disclosure few weeks ago. I’m curious to hear what they might be thinking in the context of, the uniqueness of Family Channel as a non-advertising entity, there are not many of those is Canada, once you get beyond Treehouse, there is almost nothing certainly for children, and then you jump up, I guess ultimately to pay TVs seeing more adult. So can you speak around that context and I guess the prospect of mitigating?
Keith Abriel: Yes, absolutely that’s a nail right on the head Adam. I mean, I think, that – we think the tremendous value of Family, is it has multi aspects to it, but one of the key aspects to it is, it’s a commercial a free network. And as a parent myself, I think, that’s – it’s a huge opportunity to continue to captivate those subscribers and that’s really what parents are looking for, they are looking for opportunity to put their kids in front of content that, they are not going be pitch things left, right and center. So at the momentum we want to just sort of emphasize that. At the same time we always have that sort of option to – if see this subscriber revenue starting to decline, we can make decisions on whether we want to change that idea. At the moment we see the value of that’s certainly bearing out and lot of our discussions with the BDU’s. And so we’re going to build that up and continue that for the time being.
Adam Shine: Okay, great. Thank you.
Keith Abriel: Thanks, Adam.
Operator: [Operator Instructions] Your next question comes from Robert Peters with Credit Suisse. Your line is now open.
Robert Peters: Hi, thanks for taking my question. Dana, I was just wondering if you could maybe give us an update on how Inspector Gadget has been doing in the U.S. and now that it’s out on Netflix and maybe also the early reception to Twirlywoos just kind of thinking, how we should think about the ratings on those shows and any reason they might have to their merchandising opportunities.
Dana Landry: Yes, thanks for the question Rob, I mean I think on Gadget it’s interesting because our excellent partners on Netflix are notoriously keep their information close to the chestier. So there is anecdotally we feel that they are very, very happy about Gadget. But specifically because we’ve sold Gadget in other areas and the biggest territory of that we have experienced on is in Germany Super RTL the ratings are extremely strong. And a couple of other territories that is launched as well in the linear world, it’s getting tremendous traction. And so the early indications are very positive on Gadget and all of our linear channels are talking about the second season. So that’s very positive. On the Twirlywoos side same thing the main broadcast of the BBC, we’re in discussions of possible more although no announcement to make, but we’re positive and optimistic that we can move that forward. And I think on the – in case of Teletubbies I think it’s just people are looking back to brands in the past that really move the needle and that was one that absolutely did and its peak we generated over $1 billion in retail, which there’s not many billion brands out there these days. And so we obviously are getting more and more bullish as we see more and more momentum with respect to the licenses, but also the particular channels that we’re negotiating within each territory. And at time for the last call, you can kind of get indication by this, if you’re getting the top channels in each country. And we’re certainly having those meetings and we’re getting offers from. So we’re seeing more and more momentum and that’s giving us a lot more optimism to being able to realize that those M&L opportunities.
Robert Peters: Perfect, thank you. And may be switching over to xpod [ph] we’ve seen such a large number of platform startup already this year. Looking forward to 2016 what you guys think in terms of what are your long-term kind of driver is on the xpod [ph] side of thing? Is it going to be continued platform expansion or do you think there is going to be incremental price increases on renewals?
Dana Landry: Well it’s a combination of both, it’s certainly platform expansion, I think, what interesting – is happening Rob, is that the lines are continuing to be blurred and we’re kind of looking that all as the digital category because you have services like Amazon, which have a sort of free component tool, but they also have a Amazon Prime a more of subscription or a pay component to it. So there is a lot of these services are crossing over now and there is now a content premium where you get a certain amount of content for free but you can served ads. And if you don’t want to be served ads you pay a subscription or you pay a higher fee. And in those instances those cross both spectrums. Overall the platforms as Michael said earlier are just continuing to expand, and I think, you can see the bigger players like Google, and Amazon and Hulu and others that are stepping up and competing against Netflix for some of these contents, so we’re in a very exciting time for us. And we think that just going to be continuing.
Robert Peters: Perfect, thank you. And may be just touching on Family, I think, you guys gave us a good color on in terms of your content strategy, I was wondering if I might be able to may be touch on that a little more. Kind of what – how do you think about the balance between your own content and your own library, versus a new and original content, is it half-and-half, or kind of, I don’t know if you go into much detail, but kind of how do guys think about the strategy there?
Dana Landry: Yes, I mean, its early days we’re still developing the overall schedule and what would be the optimal outcome here in a couple of years. Obviously we have the transition period that we’re working through, so there would probably more of our stuff, more originals in the near-term filled in by some third party content. But I think it’s safe to say and I don’t think we have a position today that we could comment on what the actual percentage of our content would be, but safe to say that it will be significantly higher then it was in the past. And just as the remainder of those of either aren’t aware, prior less on the Family channel our percentage of content on that channel is may be 1% or 2%. So, the potential for synergy with respect to programs and our content is significant. We’ve made some increases in our MD&A with respect to our sort of near term expectations in those synergies. And I think the numbers are sort of 10 to 14 Keith correct if I’m wrong, in terms of next year. But going forward that may go up significantly, if we’re able to continue to see the expansion of content and get done that we have in our pipeline.
Robert Peters: Great, thank you very much that is fantastic cover.
Dana Landry: Thank you.
Operator: Your next question comes from the line of Bentley Cross with TD Securities. Your line is open.
Bentley Cross: Hi, gentlemen.
Dana Landry: Morning, Bentley
Bentley Cross: First just a follow-up on the last question. I mean you guys are capped though in regards as to how much content you can put on the channel, correct? FCC [ph] mandated kind of only up to 40% is that still through or fair?
Dana Landry: Well, I think there is a – the way that – our view is that the interpretation there really is there is a certainly a minimum amount that we have to spend in terms of external content from the independent world. And obviously we are going to live up to that and perhaps exceed that, because we’ve got a lot of great originals. But we do think there is an opportunity there outside of those minimums to replace some of the third party content that we had in the past with some of the DHX content. And it’s an ongoing discussion and certainly something that we think is within the spirit of the rules and certainly something that we’re working in or planned.
Bentley Cross: A housekeeping item, how much of the $12.8 million on deal was retroactive that was required this quarter?
Keith Abriel: It’s probably in the range of that number that I said earlier five to six issues [ph]. What I would say certainly the pleasant surprise remember though that all of our revenues are in [indiscernible] because the way those royalties work is you get them active facts post to that deal. And you will only able to accrue the revenue if you have the history with respect to the particular property. So things like Gabba, things like Caillou we’re able to accrue. So you can kind of get that sort of timing, broad speed. But on new series for this, in the case of Degrassi, there is another [indiscernible] that you are in arrears. But you’re sure always in arrears, if you think about it. So this quarter will be the next particular period. So but as probably, as I said, there’s probably seven or so of that was within our expectation, as to where we are going to get in terms of revenue. The balance was I guess you call it bit of catch-up, but, I think, the interesting thing to point out is that it is still at most of the year, the long period here. And so not to say that that’s absolutely certain that will repeat in the future, but there is a strong increase in that, not only that will repeat, but other IP will also have similar results with respect to the new platforms, Amazon and others, Hulu, Google. As I said this is really just beginning in terms of the explosion. So that’s the whole reason we went down this path of acquiring and owning IP.
Bentley Cross: All right, thank you. And then, I have about zero visibility into that one. Just any extra color you could provide as to kind of what sort of metrics we could look at going forward?
Keith Abriel: I'm sorry, you cut out there Ben can you repeat the first part?
Bentley Cross: Just on the China joint venture.
Keith Abriel: Okay, yes. Yes, I mean China is – I mean it’s an area for us that we are looking on really ramping up potentially. We think there is a lot of organic potential within China. I mean, obviously, China is the huge country in population, but it’s complicated. In order to own businesses within Beijing or Shanghai, you can’t actually own majority, so we’re contemplating perhaps setting up in Hong Kong or somewhere else and looking for potential partnerships. I think what really important here though is with respect to China, the brands like Teletubbies are still actually today extremely popular. And if you go right now after this call into Alibaba, for example, there will be over a 1,000 did knock off Teletubbies consumer products, everything from costumes to dolls, some of which in my opinion are quite awful actually. But it is a testament to the brand’s interest in that region. And so what we trying to do is trying to get bring back the monetization of that by exploring these partnerships. And so as we’ve launched this best brought [ph] service for CNTV, it’s a bit difficult to project to be honest there, because we don’t know exactly whether it will get tremendous traction. One thing I could say is it cost us nothing, its increments to us and it’s just the first of many partnerships that we’re exploring within China. In particular Teletubbies we think there is a real opportunity here to produce some localized content for Teletubbies service, dubbing in some Chinese language and dubbing in some Chinese culture into the show to really get the connection to that region, and use as a driver for the – forward. The great thing about that deal and other deals we’re talking about so far are still non-exclusive and it doesn’t foreclose on other opportunities. So it’s a bit early, its only launched in March, it seemingly started of okay, but literary the guide in terms of what the revenues would, hopefully by next quarter we’ll have little more to say on that.
Bentley Cross: That’s helpful. Thank you.
Keith Abriel: Thank you.
Bentley Cross: And lastly, just a question, I'm not sure how much you rely to this, but I’m going to put out there anyway. A lot of people seem to suggest that there will be a wake of assets sales coming out of the CRTC decision. Wondering if you guys would – do you have a table for any of these broadcast assets if they do come up for sale or if you are happy with the existing assets you have and don’t want to go down on that road [ph] anymore?
Dana Landry: Yes, I mean it’s not in our current plan. Our plan as always it’s never really deviated, we’re a content company. We want to own IP, and own as many as rights and as many territories as we can. We’ve acquired the Family Channel because we felt like that could be consistent with that story to allow us to continue produce our brands, own more content and own more rights for. And way to sort of think about that is, if you look at our revenue with respect to production this year, I think, the midpoint of the guidance is somewhere between, I don’t know, $65 million or $70 million in terms of the revenue side. As you will know, that’s sort of discounted down by things like tax credits, and CMS, et cetera. So if you sort of gross that up, that equates to somewhere in the range of $130 million to $140 million worth of working capital that DHX puts to work in content every year. Well, now by adding the synergies from not spending the money on the third-party content or not spending as much, we’ve now just super-sized that content budget. And that allows us to own more IP and the more IP, we can obviously, hopefully have some further results like to had today. So that’s the plan, the plan is to own more content and never say never, but that’s certainly not in our current plans.
Bentley Cross: All right. Thank you. Great quarter guys. Thanks a lot.
Dana Landry: Thanks, Bentley.
Operator: Your next question comes from Haran Posner with RBC Capital Markets. Your line is open.
Haran Posner: Thanks very much, good morning guys. Just Dana, going back to the Degrassi and trying to clarify one thing, I think, with respect to the $5 million or $6 million of sort of surprise there. So I guess, how – over what period was this recognized? Do you think about the $12.8 million as recognized for two years of delivery?
Dana Landry: No, no, no, that was just one year.
Haran Posner: Okay, okay, got you on that. And then other tidbit on within your M&L obviously you’ve reported about $1 million of minimum guarantees on Teletubbies Twirlywoos, is that something that we should think of as a sort of a quarterly run rates now?
Dana Landry: Well, I mean that’s a hard thing to predict, because it means we’re adding on new deals all the time. So it’s difficult, I mean, certainly its not going to be lower than that, I think, that’s going to ramp up Haran as a new deal comes on.
Haran Posner: Okay, that’s perfect. And then one last one for me, sort of big picture, Dana what you’re hearing about Netflix looking to move increasingly into content ownerships, I don’t think that surprises you at all. But just interested in your thoughts, how that teller impacts your business and opportunities?
Dana Landry: Yes, I mean, we’ve never spoken about this sort of one-on-one many times and certainly on the call at times in the past. I mean, we really don’t see this is not a negative for DHX. It’s an extreme positive, I think, one of the great things about Netflix is that they are out ramping up their content side. But they need absolutely partnerships. They cannot cover the waterfront so to speak on all content opportunities. And certainly, to this date the way that they are taking advantage of the kids business is to partner with companies like ours. They did a big deal a couple of years ago with Dreamworks. We are in discussions, we’ve done, obviously we done Gadget with them, we got a couple of others that we’re discussion with them. But I think that it’s a trend that the same conversations are also going on with Amazon, the same conversations are going on with Hulu, same conversation are going on with Google, so it’s the trend at the moment, it’s driven by the demand for content.
Haran Posner: And that’s great Dana. And I guess what I afraid to is, as appose to sort of the original series like a Gadget that obviously you control and own the IP. Increasingly talk about them, wanting to actually own VIP and perpetuity…
Dana Landry: Yes.
Haran Posner: And I guess I’m wondering on that.
Dana Landry: Yes, I mean, we – certainly the conversation that we’ve had that they’ve not sort of gone away from the conversations of – its continue to licensing partner. And I think with us, we really represent a real opportunity for them, because we own the channels in Canada. We can continue to be a partner and we done lots of co-productions in past where we share IP. So I don’t see them any different than any of the other partners.
Haran Posner: Thanks very much.
Operator: There are no further questions. At this time, Mr. Reagan, let me turn the call back over to you.
David Reagan: Thank you, operator and thanks again everyone for joining us. Please feel free to reach out if you do like more information or consult our website at www.dhxmedia.com in the Investor section. Thanks so much.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.